Operator: Good day ladies and gentlemen and welcome to the eGain Fiscal 2013 Third Quarter Financial Results Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions). As a reminder, today’s program is being recorded. I would now like to introduce your host for today’s program, Mr. Charles Messman, Vice President of Finance. Please go ahead, sir.
Charles Messman: Good afternoon ladies and gentlemen and thank you for joining us today for eGain’s conference call to discuss the results for the fiscal 2013 third quarter ended March 31, 2013. Please note that the call is being recorded and will be available for the Investor Relations section of our website at www.egain.com for seven days following this call. Before I begin, I’d like to remind all listeners that all statements on this conference call that involved eGain’s forecast included the above stated guidance, beliefs, projections, expectations, including but not limit to our financial performance and guidance, the anticipated growth of our business, market trends, plans to invest in our business and expectations regarding the market expenses of our products are forward-looking statements within the meaning of the Safe Harbor Provision of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, which are based on information available to eGain at the time of this call are not guarantees of future results, rather they are subject to risks and uncertainties that could cause actual results to differ materially from those set forth on this conference call. These risks include, but are not limited to, the uncertainty of demand for eGain’s products including our guidance regarding bookings and revenue, our expectations related to our operations, our ability to invest resources to improve our products and continue to innovate our partnerships, our future markets and other risks detailed from time to time in eGain’s filings with the Securities and Exchange Commission, including eGain’s Annual Report on Form 10-K filed on September 25th, 2012, and the eGain’s Quarterly Reports on Form 10-Q. eGain assumes no obligations to update these forward-looking statements. With me today are Ashu Roy, Chairman and Chief Executive Officer and Eric Smit, Chief Financial Officer of eGain. To begin the discussion, I’d now like to turn the call over to Ashu.
Ashu Roy: Thank you, Charles and good afternoon everyone. Thank you for joining us today. From the third quarter of fiscal 2013, we performed well. Total revenue of the quarter was up 34% over the prior year, cloud subscription revenue for the quarter was up 89% over the prior year. With our continued strength and bookings, we ended the quarter with a backlog of $40.8 million up 100% from a year-ago quarter. So based on our year-to-date financial performance, we are pleased to raise our guidance for all of fiscal 2013. Eric will go into more detail on this later during the call. Now on to some color on what happened during the third quarter. In February, Gartner published its Magic Quadrant for CRM Web Customer Service applications where eGain was clearly the leader in both innovation and execution. As many of you know for the past four years, we have been consistently rated a leader in this quadrant. While we were always rated the best on innovation axis, this the first time we’ve been rated the best on both the innovation and the execution axes. In other words, we used to be one of the best. This year, we are the best. No doubt about it. This month is going to be the result of relentless innovation and execution by our eGain team and I’m proud of that tenacity and commitment to make eGain number one. We think this is a big deal. We think this is a big deal and our target market notices it too in net interest on the run rate basis has more than doubled in the April compared to the third quarter. So we think this is very significant for us and obviously we want to take advantage of this milestone and market, the success and in that right we jointly presented at the Gartner CRM 360 Show in San Diego last week with our client’s demand, our Fortune 100 Health Insurance Provider in the US. So a story of designing, engaging customer journeys resonated well with the 100 plus business and technology execs who attended our session. It also helps that Gartner’s recent CIO agenda survey rated customer experience as the number one priority, the number one priority for CIOs to deliver technology enabled innovation to their business colleagues, very much in line with our proposition. Interestingly Gartner’s sponsored guidelines this year was understand, engage, deliver and "customer engagement" quote/unquote was the most popular theme at the conference. As you know, we anticipated the shift away from traditional CRM over a year ago and launched the industry’s first customer engagement hub last year eGain 11. So we are happy about that. Meanwhile our latest solution, eGain 11, is doing well in the market. One of our new solutions as part of eGain 11 is eGain SuperChat. This is an innovative bundle of real time customer collaboration capabilities including chat, proactive chat that we call offers, cobrowse, click to call and recently added video chat. With eGain SuperChat clients can easily design multi-channel journeys for their customers taking appropriate, ready-to-deploy engagement options. In particular we see retail, financial services, and insurance plans gravitating towards the solution. Our Knowledge Everywhere Solution on the other hand is seeing broader and bigger use for web self service and customer care. In the third quarter, Everything Everywhere the largest mobile service provider in the UK went live with our eGain solution in record time to support their highly marketed 4G launch. Not only was the eGain self service well designed and effective for which we got a number of kudos from the client, but it also scaled to serve over 5,000 concurrent users during peak hours. So the whole self service drive in the market is something that our Knowledge Everywhere Solution is well positioned and is serving quite effectively. On the cloud front, we see a steady trend of on premise eGain clients migrating to the eGain cloud in the US. Last quarter for example, GSA, one of our government plants, signed up to migrate their eGain implementation to the eGain cloud. We also see growing demand from our largest cloud customers for more security, more reliability, disaster recovery, better enforceable solid [ph] levels than what is available from us or from anyone else in the market. We see those as a good opportunity to better serve and grow our largest clients. So we are upping our investment in the eGain cloud across people process, infrastructure, engineering specifically for instance we are building out another data center in the US with AT&T as our third-party call efficient service provider in this case. This project should go online in early fiscal 2014. Speaking of our bigger plans, this January, we launched a new premier account program. This was first in the US and our goal was simple, to invest disproportionately in our best clients to help them get more value out of their eGain investment. In term, this would improve attention and likely accelerate eGain expansion in these accounts. The response so far has been very positive. All the clients we invited into this program appreciate the investment in focus and many of our sponsors in these accounts are responding by championing the eGain proposition higher and harder. So they’re feeling good about us. They’re feeling good about eGain, they feel good about the choices made, the benefits we have delivered and they are pushing that story up the chain. As a result, we are submitting more expansion proposals. Our proposals are getting in front of more senior and quite often wider margins. And in a few cases the proposals are growing in size because of increased application for print and expanded news cases. So based on this early success or promise we are seeing in the North America market, we have now expanded the premier account program in Europe, this we did in early April. On the partner front, we are working very closely with Cisco to launch the eGain for Cisco Solutions Plus in this quarter which is the current quarter of Q4. In April we conducted joint sales road shows with Cisco to educate the sales force and partners in the US and a little bit in Europe. The Cisco feel a little excited about selling eGain’s top rated platform to their enterprise plants. Cisco’s sales management assessment is that roughly three out of four of all RFPs they see in the US require robust multi-channel capability. Moreover the Cisco guys see eGain as a competitive weapon against Avaya and a strategic proposition to help them reach across to client’s business leaderships beyond where they operate now which is mostly in the IT part of the house. To begin with we are focusing our go-to-market effort in the Solutions Plus launch in the US aligning mostly with Cisco’s market presence and the early demand patents. It’s important to note that unlike our OEM relationship with Cisco which by the way is holding along, in the Solutions Plus case, eGain’s sales will be working very closely with Cisco sales and partners to sell this eGain for Solutions Plus. To begin with eGain will implement and support the solutions, however in the near future, we will begin training and certifying Cisco partners to implement and support the solutions. It’s a lot of work going on and we are very encouraged by it. It’s obviously our leaders and the products will be available for sale through the Cisco channel in by the middle of May. That’s the current plan. And we do think that both the usual sale cycle, we should start seeing the benefits from this investment in the second half of this calendar year. Beyond Cisco, we have expanded our partner development team to establish new meaningful routes to market for our top rated solutions. Over the last couple of quarters, we have seen renewed interest from larger BPOs to partner with us. In the third quarter for instance, we sold significant new clients through 2 BPO partners, CFC and Capita [ph]. Furthermore, our pipeline includes other large BPO partners bringing up into new opportunities. It seems it may be the case that finally the front office BPO business is tipping over from the commoditized, achieved some fixed model to a more value-based technology leverage, knowledge assisted proposition. So we think this is intriguing and interesting, so we are pushing on that, particularly with the larger BPO partners because we think that they have the ability to invest in creating that proposition, the multi-channel customer engagement proposition. And so we are being careful working only with the larger BPO partners in this case. With that, I would like to turn the call over to Eric Smit, our CFO to discuss our financial performance for the quarter and fiscal year. And then we’ll be happy to take your questions on that note. Eric?
Eric Smit: Thank you, Ashu. We are pleased to report several solid financial results for the third quarter. Revenue end up 34% over the same quarter last year, our gross margins improved in particular for recurring revenue that increased to 84% from 77% in the same quarter last year. Our operating margins excluding depreciation and stock-based comp improved to 10% from 6% last year. Due to the increase in license revenue this quarter, our profitability was ahead of plan, but going forward we anticipate to become such a breakeven as we continue to increase our investment to drive growth. Looking at our bookings an backlog, total growth bookings or revenue has changed in total deferred for the quarter was $15.7 million and increase of 24% over the comparable year-ago quarter. Excluding the impact of foreign country fluctuations, the increase would have been approximately 29%. Backlog as of March 31st, 2013 for total deferred plus unbilled and collected revenue increase 100% to $40.8 million compared to $20.4 million reported last year. Now turning to our financial results, total revenue for the third quarter was $15.5 million up 34% from $11.5 million in the comparable year-ago quarter. For the first nine months, total revenue was $14.9 million, up 25% from the same period last year. For recurring revenue from subscription and support for the quarter was $8.3 million, an increase of 44% on a year-over-year basis. Looking at the recurring revenue in more detail, cloud subscription revenue was up 89% and support revenue was up 4% on a year-over-year basis. For the first nine months, recurring revenue was $23.3 million and the increase of 35% on a year-over-year basis. For cloud subscription revenue for the first nine months, it was up 69% to $13.4 million and support revenue is up 6% to $9.9 million when compared to last year. License revenue from perpetual sales for the quarter was $4.1 million and the increase of 44% of the comparable year-ago quarter. For the first nine months, license revenue was $8.2 million down 6% from $8.8 million for the same period of last year. Professional services revenue for the quarter was $3 million, an increase of 5% over the comparable year-ago quarter. For the first nine months professional services revenue was $9.4 million, an increase of 40% over the same period last year. To give some color on the geographic mix of our revenue, total third quarter revenue comprises 61% domestic revenue and 39% from international. For the first nine months total revenue was 59% domestic and 41% international. Looking at our gross profit and gross margins, gross profit for the quarter was $10.9 million or gross margin of 70% compared to gross profit of $8 million or gross margin of 70% in the comparable year-ago quarter. If you look at the breakout of gross margin by revenue type, recurring revenue gross margin for the quarter improved 84% compared to 77% in the comparable year-ago quarter. Professional services margin was negative 5% for the quarter. This negative margin was due and part to the ratable recognition for our cloud customers and if you look at the gross margin just based upon the professional services billings, they came in around 7% for the quarter and 14% for the first nine months. Our way of reference total deferred professional services at the end of the quarter was approximately $3.4 million compared to approximately $1.3 million as March 31st, 2012. For the nine months ended March 31st, 2013, gross profit was $27.7 million or gross margin of 68% compared to gross profit of $23.2 million or gross margin of 71% for the same period last year. The recurring revenue of gross margin for the nine months increased to 83% compared to 77% in the same period of last year. Turning to our operating costs, total operating expenses for the quarter were $10 million compared to $8.4 million in the comparable year-ago quarter. For the first nine months, total operating expenses were $28.6 million up from $23.1 million in the same period of last year. Looking at the expenses in more detail for the quarter, research and development expense increased 34% to $2.1 million for the quarter and up 42% for the first nine months to $6.2 million. Sale and marketing expense increased 4% to $6 million for the quarter, an increased 22% to $17.5 million for first nine months. General and administrative expense increased 28% to $1.9 million for the quarter and was up 15% to $4.9 million for the first nine months. Included in the G&A expense this quarter was approximately 300,000 in charges related to the secondary offering that closed this quarter. If we have raised [inaudible] capital in this offering, this cost would have been offset against the proceeds from the financing. Depreciation and amortization in the quarter was $367,000 compared to $180,000 in the prior year quarter. Stock base compensation expense for the quarter was $225,000 compared to $255,000 in the comparable year-ago quarter. Depreciation and amortization for the first nine months was $938,000 compared to $540,000 in the prior year. Stock-base compensation expense for the first nine months was $810,000 compared to $522,000 in prior year. GAAP, net income from operations for the quarter was $911,000 or an operating margin of 6% compared to a net loss from operations of $358,000 or an operating loss of 3% in the comparable year-ago quarter. GAAP net loss from operations for the first nine months was $903,000 or an operating loss of 2% compared to net income from operations of $132,000 or operating breakeven in the same period last year. Net income for the quarter was $1 million or $0.04 per share on a basic and diluted basis compared to a net loss of $655,000 or a loss of $0.03 per share for the comparable year-ago quarter. For the first nine months, the net loss was $1.2 million or loss of $0.05 per share compared to a net loss of $894,000 or a loss of $0.04 per share for the same period last year. Turning to our balance sheet and cash flows, total cash, cash equivalents and restricted cash was $17.8 million as of March 31st, 2013, an increase of $6.8 million from $10.9 million at June 30th, 2012. Cash used from operations for the quarter was approximately $900,000. Cash flow from operations for the first nine months was $9 million compared to $1.8 million for the comparable year-ago period. Capital equipment purchases in the third quarter were approximately $567,000 bringing yesterday’s purchases to $1.2 million for the first nine months. Total net accounts receivable was $10.3 million at the end of the quarter, an increase of $3.7 million at June 30th, 2012. The [inaudible] for the quarter was 60 days compared to 46 days for the comparable year-ago quarter. Total deferred revenue which includes both different revenue on the balance sheets and unbilled deferred revenues that remains off balance sheets which is collectively represents contraction commitments that have not been recognized as revenue was $14.8 million as of March 31st, 2013 compared to $20.4 million as of March 31st, 2012. Looking at our debt obligations as of March 31st, 2013, we have incurred a bank debt of $5.1 million and remained the prior debt of $2.8 million. Now turning to our fiscal 2013 guidance, we are raising our fiscal 2013 guidance for total annual revenue growth to be between 25% and 30% and raising guidance for annual cloud revenue growth to at least 65%. One thing to note for the fourth quarter, as I should mention earlier, we are in the process of building out a new data center that we expect to be online in Q1 of fiscal 2014. In our backlog, we estimate we have approximately $500,000 to $600,000 of quarterly cloud revenue that we will begin recognizing once this data center is operational. Now before I turn the call over to the operator for questions, I want to update everyone on the unfortunate occurrence that transpired during the quarter where the company’s bank accounts in the United Kingdom were improperly accessed and unauthorized transfers were made. The investigation is still ongoing so I’m not in the position to provide a great amount of detail at this time. Fortunately though as we have previously disclosed, the bulk of the funds were secured by our financial institutions involved and are either being returned to our account or being held and suspense accounts at these financial institutions. The balance in suspense as of March 31st, 2013 is approximately $500,000 and is recorded as a receivable – as another receivable from the financial institutions. Since the filing of the AK in February, the amount of the potential loss we see has been reduced from approximately $800,000 to approximately $575,000. We still believe this loss resulting from these unauthorized transfers net of the $25,000 deductible will be covered by insurance carrier. And so we have recorded the net amount of approximately $550,000 as a receivable from insurance. None of the company’s other bank accounts have been impacted and we do not believe that these actions will have a material impact on our business or operations. With that said, this ends management’s presentation. We will now open up the call for questions. Operator?
Operator: Certainly. (Operator Instructions) Our first question comes from the line of Michael Huang from Needham & Company. Your question please. Sir you might have your phone on mute.
Michael Huang – Needham & Company: Hey guys. Just a few questions for you, so first of all, so given the strength of imbalance interest that you’re seeing in April relative to what you saw in Q2, are you sales constrained at the moment? I mean, and then is this all attributed to the favorable Gartner rankings or is this attributed to other [inaudible] activities and what are your plans for sales hiring over the next 12 months.
Ashu Roy: Sure. Hi, Michael. This is Ashu here. So, I mean, you’re right in pointing out various other possibilities that maybe behind the growth and inbound request. But I would say that the document rating is probably a strong proximate cause. In addition, you’re right, we have been increasing our marketing investments for some time, so that contributing as well. So that’s on the inbound comment. And in terms of whether we are sales constrained or not, I do think we are sales constrained. We took us [inaudible] breathe or through March roughly in terms of expanding the sales force and we are kind of resume that process this quarter, which is the Q4 quarter. And so that’s an area where you will see up increase the sales headcount, direct sales headcount significantly, starting a April onward that processes on.
Michael Huang – Needham & Company: Got you, great. And in terms of SuperChat, how was that impacting ASP. I know it’s early but is there any data points that you can throw out there that might help us understand how that’s drive in [inaudible]?
Ashu Roy: That’s a good question. Trying to think here. I think for now, what I can say reasonably confidently is that it’s helping on the win rate that I feel is anecdotally quite accurate. In terms of deal size, it’s hard for me to say though there is a bundling effect because we are putting more functionality into, shall we say, let’s say 1.5 times the cost of basic chat as oppose to if you would not bundling, if it could be 3X [ph], right? But we think that overall this will have a positive impact on the ASP, but I couldn’t comment on that yet.
Michael Huang – Needham & Company: Okay. Last question for you. So in terms of a license performance in the quarter, I mean, pretty strong there. Was that all with existing customers, or was some of that was driven by new, and how much of the upside there was driven by Cisco? Thanks.
Ashu Roy: Okay. So broadly, there is a component of fiscal. Do we disclose that number? So I think from a Cisco study disclosing [ph] standpoint with this in a million, so it wasn’t the primary amount.
Michael Huang – Needham & Company: Yes.
Ashu Roy: So that was not unusual. Then the second question around whether it was coming more from existing work with new, interestingly, came from you more than from existing. And part of the reason as you know, Michael, there’s some of the verticals we go at are just very, very cloud unfriendly, for instance, that I’m sure services ore some of the very large companies that have a strong bias of not going into the cloud. Our approach continues to be that are cloud first. We are driving more and more cloud business but we get very high value clients who are – help them to ongoing – going with an un-premise solution that we will [inaudible], et cetera.
Michael Huang – Needham & Company: Great. Thanks so much.
Ashu Roy: Sure.
Operator: Thank you. Our next question comes from the line of Noel Atkinson from LOM. Your question, please.
Noel Atkinson – LOM: Hi, folks. Congratulations on a good quarter.
Ashu Roy: Thank you.
Noel Atkinson – LOM: I was wondering if you could talk a little bit about the cloud bookings in the quarter, your new cloud bookings. Could you talk a little bit about the split of activity between new customers and your existing license customers migrate into cloud?
Eric Smit: So I think, first off, on the new mix we saw somewhat of a clip from where we’ve seen in the previous quarter. So this probably closer to 25 or there about new cloud business. So year to date, we’re now closer to the number that we’ve regarded to which – just under 70% of new cloud business year to date is where that trending up. To the second part of your question, we don’t have the details of the migration aspect but we did have sort of a one account that migrated in the quarter.
Ashu Roy: Yes, we talked about the GSA.
Eric Smit: Yes.
Ashu Roy: Right, so.
Noel Atkinson – LOM: And then your new data scenario, is there going to be a meaningful uplift in your OpEx from once in this new data center at all?
Eric Smit: So I think, you know, the way that it’s structured partnering with AT&T at this point, we also investing in a significant amount of additional capital equipment from a building standpoint. I mean, there certainly will be additional computer equipment that goes into the facility, estimates probably – this last quarter, our CapEx was less than 600,000, I think we probably see that giving up to north of $1 million in this quarter, and probably three quarters of million of that may be driven from this expanded facility.
Noel Atkinson – LOM: And when you’re talking about Q in 2014, is that fiscal 2014 that you expected to be open?
Eric Smit: That’s correct.
Noel Atkinson – LOM: Okay. And then my last question is talking about the Cisco Solutions Plus, is there an opportunity for that to be cloud as well as license? And then the second part of that is on the license side of Cisco, could you talk about sort of what the uplift potential could be for a seat sale to the Solutions Plus versus what you would get from an OEM with Cisco.
Ashu Roy: Okay. So in response to the first part of your question, yes, there is a possibility that we could get a cloud model joined with Cisco Solutions Plus. However, that is not in phase one, so that’s something that prevent discussion and we’re looking at sort of the demand side of things. And so that’s the first part. The second part in terms of the uplift OEM versus Solutions Plus, let me answer it’s somewhat indirectly because it’s not clear. There are too many variables. That’s the reason why I cannot give you a direct answer, but let me give you qualitative response. So in the OEM world, we are the provider for two applications like email management and web chat or Cisco. In the Solutions Plus world, the entire eGain solution set will be available for Solutions Plus channels settling by the end of the year, and roughly half of that is available today including all the knowledge products, right? So the opportunity of selling more [inaudible] and potentially selling more apps is higher. So that’s one qualitative response. The second is that in the Solutions Plus model, we are going to also be getting the annual maintenance and support payments directly from the capital market [ph]. Unlike your young model where we are simply the OEM technology provider. Hence, we got priority for sea but we do not get an annual fee for support [inaudible].
Noel Atkinson – LOM: Okay, great. Thanks very much.
Ashu Roy: Okay.
Operator: Thank you. Our next question comes from the line of [inaudible] from Dougherty [ph]. Your question, please.
Unidentified Analyst: Yes, hi, good afternoon. Thanks for taking my questions. I want to go back to the sales capacity. I think Ashu, you mentioned that in a capacity constrained, you are starting to hire. It looks like we haven’t seen lot of expenses heading in the March quarter. Can you give us some sense for what kind of headcount you are targeting and then how that might play out into the next three years or so.
Ashu Roy: Sure. So you’re right. It has not paid in the March quarter, but we will see some of that in the Q4, which is the current quarter. In terms of where we think we will get to, we are working it in an iterative model but my sense is that we will end up roughly doubling our sales force in the next 18 months. That’s not a wide range I’m giving you, but it accounts for flexibility because we might start quick and then kind of consolidate and then go review them again, but that’s my sense right now.
Unidentified Analyst: So the people that headcount are trying to [inaudible] is it going to be named account model or they’re going to assign new accounts. Are we going to – sort of maybe the existing sales goes on that [inaudible] in that account so that how long it would take for these guys to become productive. [Inaudible] getting some long leads of it, they call leads that it’s going to take some time to – just results.
Ashu Roy: I think that takes some time no matter what we think the average ramp up and we kind of model that internally, quite conservatively. We have a nine-month sales cycle plus ramp up, so mostly you expect to see salespeople become truly productive in the second year of their performance or in the company. So that, we think, is a reasonable way to model it and that gives us enough time to train them and kind of get them going.
Unidentified Analyst: And then couple of questions for Eric. Maybe you gave this down [ph] but, I mean, [inaudible] what was the new cloud billings up in the quarter? And then what was the mix between new bookings exists – existing bookings in your total bookings down there?
Eric Smit: So I think these are some of the numbers that we pursue moving away from disclosing, so we’re providing a gross number but the split was certainly geared towards more license. I think the new cloud billings were approximately 25% in the quarter.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Jon Hickman from Ladenburg. Your question, please.
Jon Hickman – Ladenburg Thalmann: Hello. Congratulations. Good quarter, guys. So can you help me just think about license sales going forward is a pretty big jump in this quarter. You’re modeling your guidance at midpoint for the rest of the year assumes slightly down quarter for the last quarter of the year. Is that how you want us to think about the remainder of the year, Eric?
Eric Smit: Sure, Jon. I think that’s appropriate. I think, for us, we are still very much focused on the cloud first initiative. So from the standpoint of the license business, there are obviously opportunities that could close, that would sort of impact it on the positive upside, but I think that’s sort of the – just given our current focus, that’s the way we’re looking at it.
Jon Hickman – Ladenburg Thalmann: And then did I hear you correctly say that if the license sales come in as kind of you just talked about, you’re looking at more of a breakeven quarter versus actually having a positive gap numbers?
Eric Smit: Exactly.
Jon Hickman – Ladenburg Thalmann: Okay. Then one last question, you generated $9 million in the quarter from operations [ph]?
Eric Smit: The $9 million is the nine-month period. So there was 900, yes.
Jon Hickman – Ladenburg Thalmann: Oh, okay. Can you tell us what that was for the quarter?
Eric Smit: That was a 900 use of cash?
Jon Hickman – Ladenburg Thalmann: No, what you generated from operation during the quarter.
Eric Smit: We did not generate. We used cash from operations.
Jon Hickman – Ladenburg Thalmann: Oh, you use cash from operations. Okay. Thank you. That makes more sense. Sorry for the confusion. That’s it. Thanks for taking my questions.
Operator: Thank you. This does conclude the question-and-answer session of today’s program. I’d like to hand the program back to management for any further remarks.
Charles Messman: Okay, I want to thank everyone for joining us today. Again, we appreciate your interest in the company. We believe this is a very exciting time for eGain as we continue to build our world class organization. I’d also like to note that we’ll be attending the benchmark investor conference in [inaudible] on May 30th. So if you happen to be in the area, please stop by and say hello. And of course, if you have any further questions, please feel free to give us a call here at eGain. Thanks and have a great day. We’ll talk to you on the next quarter.
Operator: Thank you, ladies and gentlemen, for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.